Operator: Good day and thank you for standing by. Welcome to the Lattice Semiconductor Corporation’s First Quarter of 2022 Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  Now, it is my pleasure to hand the conference over to your first speaker today, Rick Muscha, Senior Director of Investor Relations. Thank you. Please go ahead.
Rick Muscha: Thank you, operator, and good afternoon, everyone. With me today are Jim Anderson, Lattice’s President and CEO; and Sherri Luther, Lattice’s CFO. We will provide a financial and business review of the first quarter of 2022 and the business outlook for the second quarter of 2022. If you have not obtained a copy of our earnings press release, it can be found at our company website in the Investor Relations section at latticesemi.com. I would like to remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and actual results may differ materially. We refer you to documents that the company files with the SEC, including our 10-Ks, 10-Qs, and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This call includes and constitutes the company’s official guidance for the second quarter of 2022. If at any time after this call, we communicate any material changes to  , we intend that such updates will be done using a public forum such as the press release or publicly announced conference call. We’ll refer primarily to non-GAAP financial measures during this call. By disclosing certain non-GAAP information, management intends to provide investors with additional information to permit further analysis of the company’s performance and underlying trends. For historical periods, we provided reconciliations of these non-GAAP financial measures to GAAP financial measures that can be found on the Investor Relations section of our website at latticesemi.com. Let me now turn the call over to our CEO, Jim Anderson.
Jim Anderson: Thank you, Rick. And thank you everyone for joining us on our call today. We had a strong start to the year with our Q1 revenue growing up 30% year-over-year and our Q1 non-GAAP net income growing at 72% year-over-year. Our strong revenue profit growth is driven by our strategic focus and expansion in secular growth markets are rapidly expanding product portfolio and our relentless focus on execution. We see growing momentum across our customer base, where we’re increasing our share of wallet with our strategic customers and experiencing an acceleration of customer conversions to Lattice products. Let me now touch on a few highlights from Q1 of 2022. Coming off a strong Q4, we grew revenue 6% sequentially in Q1, but double-digit year-over-year growth in each of our 3 market segments. We expanded non-GAAP gross margin by 600 basis points year-over-year to a record 67.7% in Q1, which marked the beginning of our fourth year of executing on the gross margin expansion strategy that we established at the beginning of 2019. We achieved record non-GAAP operating profit of 36.3%, an increase of 830 basis points year-over-year. And I’m pleased to announce that CertusPro-NX began production shipments in Q1, which is our fourth Nexus device family to enter production. Let me now provide an overview of our business by end market. In the Communications and Computing market revenue increased 4% sequentially and 27% on a year-over-year basis. As we’ve highlighted previously, our key growth drivers include Data Center Servers, Client Computing and 5G Infrastructure. In Servers, our attach rate has grown to over 1x. And we expect this growth trend to continue as new server architectures provide Lattice with more opportunities to increase content. In Client Computing, the Lenovo ThinkPad design that we announced at CES is now in production, and we expect additional customer platforms to begin ramping in the coming quarters. In 5G Infrastructure, we continue to benefit from this long-term opportunity given our higher content in 5G versus 4G systems and the continued worldwide build out of 5G Infrastructure. Turning now to the Industrial and Automotive market, revenue increased 16% sequentially and was up 40% on a year-over-year basis. Q1 growth in the Industrial segment reflects strong customer adoption in a broad range of applications, including industrial automation and robotics. As we’ve discussed in prior calls, we are seeing an accelerated pace of our customers converting designs from a competitor’s FPGA or microcontroller to a Lattice FPGA. Customers are conveying their designs to Lattice to take advantage of the market leading power efficiency, flexibility and software content that we provide. The accelerated pace of design conversions contributed to the strong revenue growth we achieved in Q1. We’re also pleased with our strong growth in automotive applications. Our growth in automotive is driven by the ramp of new latest designs in ADAS and infotainment applications. Turning now to Consumer, revenue increased 15% sequentially and 19% year-over-year. Revenue growth is primarily driven by new applications such as smart home and prosumer that leverage our differentiated FPGA portfolio. I’ll now provide some product roadmap highlights. Since the introduction of Lattice Nexus, we’ve launched 4 device families based on the platform, CertusPro-NX into production in Q1, and provides better power efficiency, but best-in-class system bandwidth, and a much smaller footprint than competitive devices. We now have 4 Nexus device families in production and ramping with customers. And we have additional Nexus devices planned for launch over the coming quarters. We continue to be pleased with the broad adoption of our Nexus platform across all our market segments. We’re also excited about our upcoming Lattice Avant platform. Avant will double our addressable market, it has 5x the capacity of our Nexus platform, it will allow us to address mid-range FPGA applications. Customer engagement and momentum continues to grow and Avant will create an additional new revenue stream for Lattice with ASPs that are 10 to 20 times higher than our current ASPs, when it begins ramping into production. Execution remains on track for launch in the second half of this year and we expect to hold a public event for our Avant customers and partners in Q4 of this year. Turning now to our software strategy. As we’ve discussed previously, we’ve been increasing investment in our software portfolio. Our fifth solution stack will be focused on 5G O-RAN  applications and as expected to launch in Q2. Beyond the continued expansion of our software solution stacks were pleased at the integration of the Mirametrix acquisition that we completed in Q4 2021 has already started to open new customer end market opportunities for Lattice. In summary, we’re very pleased with our outstanding results in Q1. These results are directly attributed to our focus on the right growth markets, our rapidly expanding product portfolio and the consistent execution of our strategy. We’re off to a strong start in Q1 and we continue to expect 2022 to be another robust year of growth for Lattice. I’ll now turn the call over to our CFO, Sherri Luther.
Sherri Luther: Thank you, Jim. We are pleased with our strong Q1 financial results. We drove strong double-digit year-over-year revenue growth, significantly expanded gross margin and delivered record profitability. We generated strong free cash flow, while continuing to invest in our long-term product roadmap. We also returned cash to our shareholders through share buybacks. Let me now provide a summary of our results. First quarter revenue was $150.5 million, up 6% sequentially from the fourth quarter and up 30% year-over-year. Revenue grew double-digits year-over-year in all 3 of our end markets with sequential growth as well. IP was down sequentially. Our non-GAAP gross margin increased 260 basis points to a record 67.7% in Q1 compared to the prior quarter, and was up 600 basis points compared to the year ago quarter. Both sequential and year-over-year increases and gross margin continued to be driven by strong execution of our gross margin expansion strategy, which we started in early 2019. Non-GAAP operating expenses were $47.2 million compared to $45.8 million in the prior quarter and $38.9 million in the year ago quarter, as we continue to invest in our hardware and software portfolio. Our non-GAAP operating margin increased 340 basis points to a record 36.3% in Q1 compared to the prior quarter and was up 830 basis points compared to the year ago quarter. We continue to balance operating margin expansion with investments that will drive Lattice’s long-term revenue growth. Q1 non-GAAP earnings per diluted share was $0.37 compared to $0.22 in the year ago quarter, which represents 72% year-over-year growth. We continue to focus on strong cash generation and in Q1 drove a 47% year-over-year increase in operating cash flow. We ended the quarter with $123 million in cash after repurchasing approximately 245,000 shares, or $15 million in stock under our existing buyback program. This was our 6th consecutive quarter of executing share buybacks. Let me now review our outlook for the second quarter. Revenue for the second quarter of 2022 is expected to be between $153 million and $163 million. Gross margin is expected to be 68% plus or minus 1% on a non-GAAP basis. Total operating expenses for the second quarter are expected to be between $48 million and $50 million on a non-GAAP basis. In closing, we are pleased with our strong financial results and continued execution to our financial model. We remain focused on driving sustained revenue growth and profit expansion led by our strong position and growing end markets, and our expanding leadership product portfolio. Operator, we can now open the call for questions.
Operator: Thank you, ma’am. We will now begin the question-and-answer session.  Your first question is from the line of Alessandra Vecchi with William Blair. Please go ahead.
Alessandra Vecchi: Hey, everyone, first off, congratulations on super strong execution in a tough environment. With that, you guys are clearly seeing strong growth entering the year. Can you give us a little more color on what’s driving that growth if it sounds very share gain oriented? And then, additionally, now with 4 Nexus device product families in production, can you give us any insight into what percentage of total revenue Nexus now is? And how much of the growth has been from core versus Nexus?
Jim Anderson: Yeah, thanks for the question, Ales. Appreciate it. Yeah, we were very pleased with the growth that we saw in Q1 30% year-over-year growth. And that was actually after pretty strong year, last year. Last year, I think our revenue grew by 26%. So we clearly are entering the year with a very strong revenue growth in Q1. Maybe I’ll touch on kind of a couple of different factors, maybe first from a market perspective, and then maybe from a product perspective of kind of what’s driving that growth underneath. So, first of all, from a market perspective, again, we continue to see very strong growth in comms and computing. In fact, the last 3 years in a row, that segment has grown double-digits in each one of the last 3 years. And again, in Q1, we saw 27% year-over-year growth in that segment. And we’re seeing growth from 5G wireless infrastructure, servers, where our dollars of content per server continues to expand and also growth in client computing as well. And then also very pleased with our other big strategic segment, which is Industrial and Automotive, and the performance in that segment, we saw 40% year-over-year growth in Q1. And again after a very strong year last year, in fact, that segment grew 34% last year, so again really strong performance entry in the year. In Industrial and Automotive, we continue to see growth in applications like industrial automation, robotics, and automotive electronics. And as I mentioned in the prepared remarks, one of the things we’re really pleased to see in that segment is a faster conversion that our customers are driving away from competitive devices towards Lattice FPGA. So we see an accelerated conversion there in that segment, and that certainly helped drivers all tire in Q1. And so, we’re really pleased with the performance of that segment as well. And then from a product perspective, if we look at it on the other dimension of product, clearly we have new product cycles that are helping drive growth. Nexus now we’ve entered, we’ve put in place our fourth product that’s now in production based on the Nexus platform, the most recent one entering production in Q1. So that product platform continues to ramp with our customers. In fact, last year was just the first year, first full year of revenue from Nexus, we expect Nexus to grow again this year. And really, we see that as a multiyear growth ramp. So new product cycles with Nexus and you can expect new additional Nexus devices to be coming – in the coming future quarters. And then, of course, moving out in time, we’ve got Avant ahead of us as well. We were on – we’re tracking to launch Avant in the second half of this year, and that’ll add a new revenue stream in the future, so multiple new product cycles. And then our pre-Nexus products continue to grow very well, as well. We’ve seen very strong growth from pre-Nexus. So multiple growth drivers, both from a product perspective or from a market perspective, as we enter 2022.
Alessandra Vecchi: That was really helpful. Thank you. And then maybe just a follow-up for Sherri, in a similar vein is on the gross margin front. If I backed out the volatility and licensing and services, I show a very strong product gross margin for Q1, roughly, I think up 100 basis points sequentially. And the implication is up another 200 basis points in Q2. Can you give us any more color into sort of the underlying drivers of that whether it’s mix-Nexus, some of the strategic changes you guys have made internally over the last year plus? And where we should, is this a new sort of baseline gross margin going forward?
Sherri Luther: Yeah. Thank you, Ales, for the question. So we’re really pleased with the results of our gross margin expansion. You talked about the product gross margin, you’re right, the 400 basis points sequentially and 660 basis points year-over-year. Our total gross margin all in is showed an improvement of 260 basis points sequentially, and 600 basis points year-over-year. So we’re really pleased with that progress. Just as a reminder that back in 2019, we had laid out our gross margin expansion strategy that we’ve been executing on, as Jim mentioned, in his opening comments that we’re entering our fourth year now. And so when you look at that improvement in gross margin, it’s been increasing by an order of magnitude of 300 basis points each year, so it’s been a total improvement of over 1,000 basis points since 2018, so really pleased with that. It’s coming from manufacturers are really driving that pricing optimization is really the main factor right now. We’re also having same contributions from mix, as well as higher margins on our newer products, so all of those factors are really coming into play. And when you look at to the midpoint of our guide, you’ll see that we’re continuing to execute on gross margin expansion into our Q2 quarter as well.
Alessandra Vecchi: Great. Thank you. With that, I’ll jump back into queue.
Rick Muscha: Operator, did you have the next question?
Operator: They’re having a difficulty with the line right now. David Williams, can you hear?
David Williams: Yes.
Operator: Okay, David, you should go ahead and ask your question, please.
David Williams: Okay. Thank you. Hey, congrats on the progress and the execution here, it’s been nice to see the cadence and the consistency. Just want to see maybe if you could talk more about the durability of the demand that you’re seeing or the growth maybe within the industrial and the automotive sounds like your customers are converting more quickly. Is there maybe any color around that conversion cycle? Or maybe what’s driving that we might find helpful?
Jim Anderson: Yeah. Thanks, David. Yeah, again, as I said, we’re just really pleased with the progress in that segment, the strong growth that we saw last year and into Q1 of this year. What we’re seeing is customers in the Industrial and Automotive segment and, again, industrial thing of applications like industrial automation, robotics, automotive electronics is – first of all those customers are seeing the portfolio that we have today and the roadmap moving forward, and they’re just seeing that as an incredibly competitive, strong product offering that we have today in a very, very strong product roadmap moving forward. We’re continuing to expand out our product offering right now with Nexus in the future with Avant. And so the customers are seeing that and are really excited about driving a strategic multi generational transition to Lattice over time. And if you look at the products today like Nexus, if you look at some of the competitive stats, the customers very excited about the fact that from a Nexus device versus a competitor’s FPGA, they can get 4 times the power efficiency. They can get orders of magnitude, better reliability, and we’re bringing a tremendous amount of software content with those devices as well. So that really helps the customers in terms of helps them switch to our devices, it helps them get up and running quickly and get to market quickly. And that software also helps the device be sticky over time. So we’re seeing customers really motivated to switch primarily for the technical or product benefits. But I think what’s happened more recently that we’ve seen kind of catalyze or accelerate that is those same customers have also really appreciated how we’ve supported them through this supply constrained environment. They’ve seen us do a good job of supporting their supply needs. And so, I think, that’s also catalyze them to drive that transition faster than what they might have originally been planning and so we are seeing an acceleration there. I was actually just an anecdotal comment. I was actually in Europe just a couple of weeks ago, spending a lot of time with our European Industrial and Automotive customers and just fantastic momentum with those big Industrial and Automotive customers, and again discussions around strategic multigenerational transition to Lattice devices. So we see this as a very durable shift of share and revenue towards Lattice over time.
David Williams: Perfect. And then maybe from a supply chain standpoint, anything there that you’re saying either improve or deteriorate, just kind of given what’s going on in the world today and the issues in China and, of course, in Russia. Can you talk maybe to your supply chain challenges or improvement or maybe deterioration you’re seeing?
Jim Anderson: Yeah. Certainly at an industry level, the semiconductor supply chain certainly remains tight. And, I think, at an industry level, the expectation is remains tight through the end of this year, and actually well into next year. Now, Lattice specifically, I think, we’ve done a really good job navigating those supply chain constraints for our customers. And I actually want to take the opportunity to really thank our supply chain operations team, because I think over the last 2 years, they’ve done a really great job of supporting our customers. And so, I think, if you asked our customers, I think, they’d say that we’ve done quite a good job of supporting them and our intention is to continue that we’re certainly not immune to the supply chain tightness, and there can be tightness on particular semiconductor or package combinations. But overall, I think, we’re doing a good job of supporting them. Some of the more recent potential supply chain disruptions that you mentioned in terms of the Russia-Ukraine conflict, we haven’t seen any disruption our supply chain due to that. We’ve been working really carefully with our suppliers to make sure we understand any potential disruptions. But we haven’t seen any material supply disruptions due to that conflict, but something we’re certainly monitoring moving forward. And, I think, you also mentioned in China, some of the COVID-related lockdowns and some of the things overseen in Shanghai. Again, we haven’t seen any significant disruption to our supply chain. Our supply chain – our primary supply chain is outside of China, so it is not located inside of China. There may be secondary effects if we have suppliers, to our suppliers that have part of their supply chain in China. But in terms of our primary supply chain, we haven’t seen any impact although it’s something that we are monitoring again very carefully and making sure we understand and work carefully with our suppliers, but no significant disruption that we’ve seen to date.
David Williams: Thanks so much for that. Certainly appreciate it and thanks for the time.
Jim Anderson: Thanks, David.
Operator:  Your next question is from   with Rosenblatt Securities. Please go ahead.
Unidentified Analyst: Hi, everyone. Thanks. This is Lucas Cohen. I’m calling in for Hans. Thanks for letting me to ask a question here and again congrats on the great results. Hans wanted to know what the mid-range FPGA parts look like in terms of a ramp for the second half of the year. I know you can kind of touch upon a little bit, but I wanted to get some more insight there?
Jim Anderson: Yeah. No problem, Lucas. Thanks for the question. So Avant is the name of the platform for our midrange FPGA offering. As I mentioned in the prepared remarks, Avant is on track to launch in the second half of this year, and what Avant brings to the market is, if you compare it to the Nexus devices that we have in production today, Avant capacity or capability is about 5 times the capability of Nexus, and so it’ll allow us to address applications in the mid range portion of the FPGA market and that’ll roughly double our addressable market. And that also, as those products begin to ramp into production, that’ll create an entirely additive new revenue stream for Lattice, because that’s a market that we don’t serve today. In terms of the timing of that that ramp, we’d launch in the second half of this year. And, generally, we would expect to start to see revenue 12 to 18 months after the initial launch. So that would put revenue, maybe some at towards the end of 2023. But it would have a more material impact in 2024. So that’s kind of our expectation. And that’s based off the experience that we saw with our Nexus devices. That’s similar ramp timing, based on launch that we saw after Nexus. But Avant is definitely something we’re very excited about. I can tell you, the sales team is extremely excited, because they’re working with our customers on the Avant design wins and design ends. And then the engineering team also very excited but, yeah, something we’re really looking forward to for the second half of this year. Thanks, Lucas.
Unidentified Analyst: Thank you. And maybe as an unrelated follow-up question, Hans is curious about the front end availability and back end at Samsung?
Jim Anderson: Yeah. So it’s our Nexus products that are based on the Samsung foundry. We do have multiple foundries that we utilize TSMC, UMC and Samsung. Nexus products are based on the Samsung foundry 28 nanometer. And we’ve been able to support our customers very well. Nexus is contributed to growth that we saw last year, Nexus contributed again to growth that we saw in Q1. And, I think, we’ve done a good job of supporting our customers. And we certainly expect that to continue.
Unidentified Analyst: Thank you.
Jim Anderson: Thanks, Lucas.
Operator:  Your next question is from Christopher Rolland with Susquehanna. Please go ahead.
Unidentified Analyst: Hi, this is   on behalf of Chris. I know you guys talked about supplies earlier. But I want to ask about demand specifically. Last year, you shipped about one-third of your revenue to a distributor in Taiwan. So I’m curious, if you’re seeing any changes in the demand patterns in Asia, and specifically in the Greater China region. Thank you.
Jim Anderson: Yeah. Thank you. So we haven’t seen any significant shifts in demand. We saw good growth across all regions. Last year, we’re expecting all of our major geographical regions to grow again. This year, we’re not seeing any significant demand shifts from a year-over-year perspective, when we look towards the demand or the backlog that we have for 2022. And there can be – since you brought up distributor revenue, there can be some fluctuations from quarter-to-quarter in terms of, which products shipped to which distributor and things like that. But when we look at that kind of macro geo level, we haven’t seen any significant shifts.
Unidentified Analyst: Thank you. And as a follow-up, I also wanted to ask about OpEx. I think you guys guided 35% as the long-term guide. But you’ve been under spending in the recent quarters at around low-30s. And that’s obviously been a positive to the bottom line. But would you say this is the new normal? Or should we expect some sort of a step-up at some point in the future? Thank you.
Sherri Luther: Yeah. Sure. Thank you, Dougsan, for the question. So OpEx target, as you indicated, was 35% that we rolled out last year. When you look at our OpEx, so in particular, our R&D spend, it’s something that we’ve talked about for quite some time now that we have a bias to investing in our long-term product portfolio. When you look at our R&D spend, you see that year-over-year, our R&D has increased 30%. And so that’s really a testament to the new product launches that we’ve announced our platforms that we’re excited about our Avant launch in the second half of this year. So really continuing to invest in that loan… From an SG&A perspective, demand creation is also very important for us to support the future growth of the company, and so year-over-year, Lattice also increased 12%. So while we’re below our target, we feel like we are investing the right amount in the business. And we’ll continue to do that to drive the long-term growth of the company.
Unidentified Analyst: Thank you.
Operator: And your final question is from Matt Ramsay with Cowen. Please go ahead.
Matthew Ramsay: Thank you very much. Congratulations on the results. Good afternoon. Apologize, guys, these have maybe been asked there’s a bunch of companies reporting at the same time here tonight. So bear with us. Jim, I wanted to ask about the progress and the contribution of your business, selling into notebook. I know there was a deal that you guys had announced publicly with Lenovo, and you were pursuing other opportunities there. If you could give us any color on sort of the magnitude of the contribution of that, of those new wins and any description on the pipeline of engagements you have there would be helpful. Thank you.
Jim Anderson: Yeah. Thanks, Matt. So first of all, just when we look at last year, just as a basis, we saw comms and computing, last year grow at, I believe, it was about 25%. And certainly the Client Computing segment was a good contributor to that we had a number of platforms that were ramping into production. And then, more recently, at CES, we announced a partnership with Lenovo and their ThinkPad platform that we’re really pleased with that platform has now entered production and is ramping and that’s a platform where we’re delivering artificial intelligence processing capability with our FPGA and our software that sits above. And that AI capability is used to provide a whole bunch of really cool user experiences, things like if you walk away from your laptop, our chip can detect that and dim the screen so that it saves power or saves battery life by dimming the screen. We can detect shoulder surfing if to improve the security of the system and a number of other capabilities that we can bring to the system as well. So we’re really excited about that Lenovo ThinkPad partnership. And as I said, that’ll be ramping throughout this year. And then there are additional other customer OEM platforms that are in the pipeline that we’re working on. And you can expect to hear more about that in the coming quarters as those reach production. But we’re really excited about the pipeline. And if I just step back a little bit, we see this as a really good long-term growth opportunity for the company, because this is really Greenfield growth in a huge market. If you look at the PC market, it’s a system TAM of over 300 million units a year. And so that’s a large potential TAM, unit TAM for us. And we’re just kind of at the early stages of penetrating this market. And so we see it as a very large growth opportunity for us where we’re bringing really unique capabilities that we think are going to become really standardized across PC platforms in the coming year. So something we’re pretty excited about.
Matthew Ramsay: No. Thank you for that, Jim. As my follow-up question, I wanted to ask about the data center and the server business for you guys. There’s obviously that we’ve seen through this earnings cycle so far, it’s a reiteration of pretty positive CapEx numbers from a lot of hyperscale, folks. And there’s no secret that there’s server launches coming with brand new sockets and platforms from both Intel and AMD, as we move through the year. So I know the penetration level in terms of unit attach is pretty high in your business right now. But I think there’s some content expansion opportunities that are still on the column there. So we just kind of characterize how you’re thinking about that business contributing to growth, Jim, that would be really helpful? Thank you very much.
Jim Anderson: Yeah, thanks, Matt. Definitely we see comms and computing, of which, servers is one of our key growth areas underneath comps and computing. We see that as a continued growth area for the company. Actually, if you look over the last 3 years, that segment has grown double-digits in each in the last 3 years, and a lot of that growth has been driven by our continued expansion in the server segment, where we’re expanding our average dollars of kind of dollars of content per system and we see that continuing to grow. We see both attach rate and the ASP growth moving forward. With some of the new server architectures that are coming out, we see additional opportunities for more Lattice silicon, more Lattice sockets, we expect our attach rate, which is already above 1x to continue to grow. And then, we expect our ASPs to continue to grow as well, as   more capability, more content with each new server generation. And, as I’ve said before, our products are CPU agnostic. So whether it’s Intel processor, or an AMD processor, or an ARM processor, the capabilities and functions that we bring to the platform work equally well across all those architectures, and, in fact, most of our customers when we engage with them whether they’re kind of traditional enterprise server vendors or hyperscale server vendors. What they’ll do is, they’ll use kind of the same Lattice solution for control and management, and security of the server system, they’ll use the same-sub system based on Lattice across different CPU architectures. So they’ll use that Lattice design across both an Intel and AMD and ARM based server design as well. And so we feel really good about the continued expansion in that segment. It’s certainly been a key growth area for us over the last few years. But we see a lot of headroom for growth moving forward as well.
Operator: And that completes a question-and-answer session. I will now turn the call back to Lattice’s CEO, Jim Anderson for summary or final comments.
Jim Anderson: Yeah. Thank you, operator, and thanks, everybody, for being on the call with us today. So first of all, really happy to have kicked off the year with really strong results of the 30% year-over-year growth after what was a very strong year last year. And again, we continue to see strong growth from our 2 big strategic segments of Communications and Computing, and Industrial and Automotive when we talk through a number of those growth factors today, and then also a key product cycles that are helping drive growth. Our pre-Nexus products are growing. Our Nexus products are still in early ramp state and we expect those to ramp over the coming years. And then the Avant product ramp is still out ahead of us. So we’re really excited about the future growth for the company and I look forward to providing more updates at our next earnings call. Operator, that concludes today’s call.
Operator: Thank you, sir. To all participants thank you for joining. This concludes today’s conference call. You may now disconnect. Stay safe and well. Have a good day.